Operator: Good day, and welcome to the Five Below First Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Christiane Pelz, Vice President of Investor Relations. Please go ahead.
Christiane Pelz: Thank you, Gary. Good afternoon, everyone, and thanks for joining us today for Five Below's first quarter 2022 financial results conference call. On today's call are Joel Anderson, President and Chief Executive Officer; and Ken Bull, Chief Financial Officer and Treasurer. After management has made their formal remarks, we will open the call to questions. I need to remind you that certain comments made during this call may constitute forward-looking statements and are made pursuant to and within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 as amended. Such forward-looking statements are subject to both known and unknown risks and uncertainties that could cause actual results to differ materially from such statements. Those risks and uncertainties are described in the press release and our SEC filings. The forward-looking statements made today are as of the date of this call and we do not undertake any obligation to update our forward-looking statements. If you do not have a copy of today's release, you may obtain one by visiting the Investor Relations page of our website at fivebelow.com. I will now turn the call over to Joel.
Joel Anderson: Thank you, Christiane and thanks everyone for joining us for our first quarter 2022 earnings call. When we last spoke at our Investor Day in March, we unveiled our vision for future growth, the Triple-Double, and characterized 2022 as a unique year within that framework. given the lapping of stimulus and ongoing macro issues including record inflation, the war in Ukraine, and continued lockdowns in China. While 2022 is indeed proving out to be a unique year. The customer response to our new prototype has been overwhelmingly positive. We remain excited about our future and are focused on execution to convert our store fleet to the new prototype. Key initiatives related to this rollout include opening all new stores in the Beyond format, executing store conversions and adding new products and services to celebrate rituals and milestones to further enhance the store experience. Now onto the first quarter. The first quarter was challenging from a sales perspective as we had to anniversary the impact of stimulus amid the uncertain macro environment. While sales in April came in softer than expected, we effectively managed costs and delivered solid bottom line results in line with expectations. Total sales in the first quarter grew 7% over last year to $640 million, while comparable sales decreased 3.6%, driven by a decline in both basket and transactions. We delivered diluted earnings per share of $0.59 driven by strong cost discipline. Our key growth driver new store growth continued with 35 new stores opened across 23 states. The new store in Albuquerque, New Mexico ranked in the top 25 Spring Grand openings of all time. Other highlights of the first quarter include opening our 1,200 store in Union Square, Manhattan and two other stores in the New York Boroughs, as well as a new store in Downtown Chicago. During the first quarter, we also continued to make progress across our strategic initiatives of product, experience and supply chain. On product, one of the key distinguishing features of our model is our team's ability to recognize trends and capitalize on them quickly. The flexibility of our model with our Eight Worlds and ability to quickly shift is what makes the Five Below concept so unique. During the quarter, our merchants stayed on top of the squish mallow trends. We spoke about previously sourcing new edition squish mallows for our popular Squish Sunday events, which are store and marketing teams featured on social media and in-store marketing campaigns. The strong performance of the squish trend drove outperformance in the sports world, while Candy World benefited from novelty candy, snacks and drinks. Pet also continued to be a strong category in the Room World. Turning to our second initiative experience. As I outlined in my opening comments, we are excited about the latest prototype unveiled at our Investor Day. This newest model features a Five Beyond destination. Our store within a store concept, which showcases reimagined tech and Room Worlds, while also doubling the SKUs dedicated to Five Beyond. As we mentioned at the Investor Day, we are planning on converting over 750 of our current stores into this latest format over the next four years. Our mission is to bring Five Beyond everywhere. In 2022, we are on track to convert over 200 stores to the new Beyond prototype. Regarding the digital experience, we focused on developing deeper connections with our customers and communities, while better engaging our crew. Through more effective digital marketing, we are growing brand awareness and are gathering data on our customers to better understand and market to them. We are also focused on enhancing the customer experience even further by letting them experience Five Below and the way they want. And to that end, we are working on a BOPUS roll out this summer. Moving on to our third strategic priority, supply chain. Recall that we spoke in detail about the theme of controlling our destiny on Investor Day. While this area continues to be challenging, given the impacts of lockdowns in China. Our teams remain nimble putting us in a great position to flow the majority of our expected product into the ports, distribution centers and our stores. This is a great example of how focused we have been on execution and I am extremely proud of the progress we made. We are proactive in our approach from securing additional container capacity to adding to our truck fleet at the ship centers. We have improved our inventory in-stock position significantly since the beginning of the year and have the freshest inventory since I joined Five Below. This sets us up nicely for the second half and allows us to take advantage of closeouts and one-time special buys that have already begun to emerge. As it relates to our distribution infrastructure, we are very excited to officially open the Indiana ship center this summer to further gain efficiencies, and speed to our stores, and ultimately our customers. As a reminder, after we open this distribution center which will enable us to service approximately 90% of our stores within one day, we will have completed our Five Node network. We will then take a pause from opening distribution centers for a couple of years. The entire supply chain team has made great progress to set us up to serve incredible value to our customers this upcoming holiday season. In summary, we remain focused on our growth strategies with disciplined investments in people, systems and infrastructure to support the execution of our future growth. Growth is at the center of our long-term strategy and throughout the organization, our attention is solely focused on execution to deliver our Triple-Double strategy. We now have full line of sight on delivering our goal of approximately 160 stores in 2022 and have made significant traction on our 2023 goal of opening over 200 stores for the first time ever. Our scale continues to benefit us and our customers, as we continually reinvest in WOW products and provide the fun experience they expect from us. We are also poised to take advantage of dislocations in the marketplace, including merchandise and real estate, and we will aggressively pursue the opportunities we are seeing, which we expect to grow, given the current environment. While the pressures facing some of our customers due to the reduction in stimulus and the current inflationary environment, weigh on our near-term results history has taught us that consumers will seek out value even more when times are tough, and nobody is better positioned to deliver fun at outstanding values, than Five Below. With that, I will turn it over to Ken to provide some more details on the financials. Ken?
Kenneth Bull: Thanks, Joel, and good afternoon, everyone. I will begin my remarks with a review of our first quarter results and then provide guidance for the second quarter and the full year. As Joel said, the first quarter was more challenging in April than we expected. As we cycle the impact of large stimulus payments amid an uncertain macro environment, while consumers experienced record high inflation. Our sales for the first quarter of 2022 increased 7% to $639.6 million from $597.8 million reported in the first quarter of 2021. As we have said on previous earnings calls, we believe that a meaningful measure of our performance in the near term is to compare our results to pre-pandemic results from fiscal 2019, given the outsized stimulus impact in 2021 and the impact of COVID in 2020. Sales for the comparable set of stores opened in both the first quarter of 2019 and the first quarter of 2022 increased 17%, or 5.4% on a three-year compound annual growth rate. Comparable sales decreased by 3.6% versus the first quarter of 2021 with a decrease in comp ticket of 1.9% and a comp transaction decrease of 1.7%. As we have seen since reopening our stores in 2020, our average ticket continues to be strong, increasing over 20% when compared to 2019. We opened 35 new stores across 23 states in the first quarter compared to 68 new stores opened in the first quarter last year. We ended the quarter with 1,225 stores, an increase of 138 stores or 13% versus 1,087 stores at the end of the first quarter of 2021. In line with our guidance, operating margin was 6.6%, which declined approximately 400 basis points versus the first quarter of 2021 with approximately one-third of the decline in gross margin and the remainder in SG&A expenses. As a comparison to a pre-pandemic period these operating margin results were in line with the first quarter of 2019. Gross profit for the first quarter of 2022 was $206.8 million versus $200.9 million in the first quarter of 2021. As expected gross margin decreased by approximately 130 basis points to 32.3%, driven primarily by fixed cost deleverage on the negative comp. As a percentage of sales, SG&A expenses for the first quarter of 2022 increased approximately 280 basis points to 25.7%. As expected, SG&A expenses as a percent of sales were higher than last year, driven primarily by fixed cost deleverage, higher store wages and increased marketing. Our effective tax rate for the first quarter of 2022 was 22.3% compared to 20.9% in the first quarter of 2021. Net income for the first quarter of 2022 was $32.7 million versus net income of $49.6 million last year. Earnings per diluted share for the first quarter was $0.59 compared to last year's earnings per diluted share of $0.88. We had a share-based accounting benefit of approximately $0.03 in the first quarter this year compared to a benefit of approximately $0.04 in the first quarter last year. Now looking to our balance sheet. We ended the first quarter with $320 million in cash, cash equivalents and investments and no debt, including nothing outstanding on our $225 million line of credit. We repurchased approximately 247,000 shares in the first quarter of fiscal 2022 at a cost of approximately $40 million. Inventory at the end of the first quarter was $504 million as compared to $327 million at the end of the first quarter last year. Average inventory on a per store basis increased approximately 37% versus the first quarter last year. Average total units of inventory on a per store basis increased approximately 20% year-over-year. Accelerated merchandise receipts and higher inbound freight costs drove the year-over-year increase. As Joel previously mentioned, we are pleased with the makeup and level of our inventory and are well positioned for our summer selling season. We remain disciplined and flexible in our inventory purchasing so that we can adjust the customer demand and preferences, chase trends and be opportunistic in a dynamic supply chain environment. Now on to guidance. As we stated at our Investor Day in March, we expect 2022 to be unique year for several reasons. First, lapping significant government stimulus. Second, the uncertain environment with residual pandemic impacts primarily on supply chains and store openings; Third, ongoing inflationary pressures, especially fuel costs. And fourth, cycling a very strong year of multiple merchandise trends. Given our Q1 performance and Q2 sales trends to date, we believe it is prudent to adjust our outlook. Our guidance for the second quarter includes opening approximately 30 new stores, sales of $675 million to $695 million. Comps of between negative 2% to negative 5%. A 25% effective tax rate. Net income between $41 million and $48 million with diluted EPS of $0.74 to $0.86. At the midpoint of this guidance, we expect operating margin to be down approximately 450 basis points over last year, driven by deleverage in both gross profit and SG&A expenses. We had originally planned for a second quarter operating margin decline that moderated from first quarter levels, due primarily to unanniversaried freight costs, higher store wages and increased marketing expenses. However, due to fixed cost deleverage on the lower sales outlook, we now expect a larger operating margin decline than in the first quarter. Our current outlook assumes lower sales than originally planned for Q3 and an operating margin decline year-over-year of approximately 350 basis points, due primarily to fixed cost deleverage, higher store expenses and increased marketing spend. As we look out further to the fourth quarter, our current outlook assumes that more consumers overall and our customer specifically will be looking for better value, as we have seen in the past during difficult economic periods. For Q4, we currently expect an improvement in year-over-year sales trends from Q2 and Q3 levels and we still expect significant operating leverage. We believe several factors will drive the sales improvement in Q4, including improved year-over-year inventory position and merchandise in stocks, expanded Five Beyond assortment and penetration of store count, an increased and more effective marketing. For the full year of fiscal 2022, we now expect sales of $3.04 billion to $3.12 billion, which is a reduction of approximately 5% versus our previous full year guidance. This sales range is an increase of approximately 66% versus fiscal 2019 total sales or an approximate 19% compound annual growth rate. For fiscal 2022, we also expect comps in the range of flat to negative 2%, which assumes an approximate 17% increase for the same subset of stores opened in 2019 and 2022 which is in line with a similar comparison, I mentioned for our first quarter 2022 results. We also expect an effective tax rate of 25%. Net income in the range of $271 million to $293 million, and diluted EPS of $4.85 to $5.24. We expect operating margin of about 12.2% at the midpoint of guidance with a decline versus last year driven primarily by deleverage on fixed costs and higher SG&A expenses from a more normalized marketing spend. For fiscal 2022, we plan to spend approximately $225 million in gross CapEx, excluding tenant allowances primarily for opening approximately 160 new stores, executing over 200 conversions to the new Five Beyond prototype, opening a new distribution center in Indiana and investing in systems and infrastructure. We still plan to open approximately 60% of new stores in the second half of the year, including approximately 20 openings in January. And over the next two years, we still plan to open between 375 and 400 new stores. In closing, we remain committed to delivering an amazing experience and exceptional value for our customers, something that is even more important now than ever before. And we will continue to manage our cost structure and spend with great discipline while staying focused on our long-term vision and sales and profitability targets. For other details related to our results, please refer to our earnings press release. That concludes our remarks. And with that, I'll turn it over to the operator to begin Q&A. Operator?
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question is from Matthew Boss with JP Morgan. Please go ahead.
Matthew Boss: Great. Thanks. So, Joel, maybe could you elaborate on the softer than expected April across your world? Have you seen any change in consumer behavior so far in May or June? And then for Ken, are you embedding any improvement in the macro backdrop into this revised outlook or maybe could you help walk through the underlying comp build for the back half of the year relative to trends in the business that you're seeing today?
Joel Anderson: Yeah, Matt. I mean obviously, for the first quarter, we guided 0 to 2, when we were with you guys pretty late in March. So for us to come in at 3.5-ish negative comp, the April results were obviously softer than what we expected. I would also just tell you that, like, many retailers, this is an extremely hard time to predict exactly what's going to happen is, we were in the height of the stimulus from 2021 and it's -- while you know when the dollars were distributed, it's really hard to tell exactly when they were used and honestly, we probably focus a little too closely to when they were distributed and didn't give enough tailwinds into the into April and May from the stimulus. I think the other thing in May was, there was a lot more tax return dollars in May last year than there was this year and we didn't factor that into it. So I think, the height of the biggest headwinds are behind us in that $1.9 trillion stimulus. But the consumer continues to face a lot of hurdles most recently being the formula shortage which for families, it's got to be something that's front and center on their mind, et cetera, et cetera. So I think you can tell by our guide that we're expecting Q2 relatively in line with Q1. And then, I think as the consumer gets out of their frozen mode, we'll start to seek out value and that's where we start to do better.
Kenneth Bull: And then, Matt, your question around the assumptions, I guess in our guide or outlook around the macro backdrop, I mean as Joel mentioned we're really looking at the current environment at this point. And I think one of the, the other pieces we add into it is a comment around customers returning to value and really going after value in these difficult periods. So we do expect that to kick-in. We've not seen that full benefit yet up to this point. When you translate that into the -- you mentioned comps, when you look at comps, obviously, with the guide a negative comp for the first half of the year and then given the guide that we provided for the full year of a flat to a minus 2. It would assume positive comps in the back half of the year. We feel really good about the fourth quarter given some of the things that I called out and some of those factors, especially inventory positioning and in-stocks and Five Beyond. And our outlook right now assumes that we see the -- what we're seeing in Q1 and Q2 kind of moderating sometime in Q3 and then much bigger benefits in Q4.
Matthew Boss: [Technical Difficulty]
Joel Anderson: Thanks, Matt.
Operator: The next question is from Simeon Gutman with Morgan Stanley. Please go ahead.
Simeon Gutman: [Technical Difficulty]
Joel Anderson: Simeon your – I was having hard time. You asking how do we drive traffic as a discretionary retailer?
Simeon Gutman: Yeah. So and you think any factors that you're [Technical Difficulty] or you change given that the backdrop is evolved?
Joel Anderson: Well, I mean, look, I think, first of all, we certainly look back to the last time there was a recession in ‘08 (ph) and that was a pretty successful time for Five. I wasn't here during that time. I was at Walmart at that time. We saw the same thing at Walmart. And I think for us, that's why so many of our remarks and comments were on value and the opportunities we're starting to see around one time buys and special buys and that type of thing. And I think as we especially get closer to holiday the back half of the year, we're going to see a lot of customers start their trip at Five rather than finish their trip because they know the value that they're going to find there. And so, we start to move as we get into the back half of the year from a discretionary retailer into a needs retailer. As history would tell us and certainly from our day ToysRUs as well as the last place, the consumer will cut is for their kids. And so we see no reason that doesn't change this year and that is why we are so focused on the value message as we look ahead to the second half of the year. Thanks, Simeon.
Operator: And the next question is from John Heinbockel with Guggenheim. Please go ahead.
John Heinbockel: Hey, Joel. Two related questions, right. How aggressive do you want to be on closeouts and in what categories and price points? And then secondly maybe just remind us your philosophy on markdowns versus packaway.
Joel Anderson: Yeah. It's a good question, both of them, I think packaway (ph) is something you really have to balance I'm taking your second question, the second part of that first. We have a few years ago were too heavily invested in pack aways. I think that worked really well when we were just a small regional player, but as you become national that becomes a really complex thing. So I don't expect us to see packaways becoming a big change in our philosophy going forward. And then your second part of that is how aggressive on markdowns. I mean, sorry on one time buys, look, John if they present it to us in any category and it relates to our core customer, we will be in the market buying and we're starting to see those opportunities present themselves, that's been a pretty dry area for last two years, but we're -- Michael has given full cart launch to be him and the merchants to be chasing that product in across all Eight Worlds. We expect our inventory to be very clean by the end of the year. This is product that sells extremely well at holiday. We've got a good track record and how to manage that, but we'll be aggressive in all Eight Worlds.
John Heinbockel: Thank you.
Joel Anderson: Thanks, John.
Operator: The next question is from Paul Lejuez with Citi. Please go ahead.
Paul Lejuez: Hey, Joel. Can you just frame the close out from special buys like what percent of your sales does it typically represent versus where you think you might be going this year, next year? And then, you mentioned capitalizing on some opportunities in real estate. I was curious if you could just dig into that a little bit in terms of what you're seeing there? Thanks.
Joel Anderson: Yeah. Look, regardless of how you look at closeouts on special buys. It is a very small piece of our business. It was much, much bigger when we were a small chain, but we can't rely on closeouts to drive our business. They're not going to be sitting on 20,000, 40,000, 60,000 units of an item that we can constantly uses a flow of goods. Having said that, Paul, they really serve as traffic drivers and so. While, it will still be less than double-digits of our total. We can use those in our emails and social media and really try and use that to lure customers into our store with incredible value. So it's more opportunistic and it's more about being able to drive traffic. We can use them for online exclusives, but it's really a nice piece of our strategy, but it doesn't make up the overwhelming piece of our business. And then as far as real estate goes, as you've listened to some of the announcements to several retailers, we're just coming back from ICSC, a couple of weeks ago, which is in Vegas, probably the biggest resales real estate show of the year, which really hasn't occurred in the last couple of years because of COVID. Our team came back energized the landlords are talking to us. The landlords are getting excited and ready to get back to growth. They are starting to see some, some of their bottlenecks start to loosen up and so I think that it's really been a sea change from where we were at the beginning of the year where everything was of backing up into the back half of this year and into next year. So we are pretty much done with all the deals for this year and that's why, as my prepared remarks, said, we've got great line of sight of the 160 for this year and next year is really starting to shape up with the added commentary of the kind of the tenor of the meeting out of it out in Las Vegas, a couple of weeks ago.
Paul Lejuez: Joel, those rates come in better than you anticipated at the beginning of the year.
Joel Anderson: I mean, it's less than rate change, clearly, if we went into the C&D centers, we could easily take rates down, but we're still staying committed to the A & B centers and it's just more about the opportunity opportunities presenting themselves as opposed to at least at this point a change in rate. All right, Thanks, Paul.
Operator: The next question is from Brian Nagel with Oppenheimer. Please go ahead.
Brian Nagel: Hi. Good afternoon. So my question, if you look at the sales performance during the quarter and in particularly in the month of April, you are falling short of modestly short of the guidance, as you -- under the underlying drivers, is that more a function of just lapping this really difficult comparison last year or are you seeing within your business some signs for consumer actually is pulling back and it was seeing that, maybe help us understand what that would be?
Joel Anderson: Yeah, Brian. It's kind of a combination of both and I think because they both hit at the exact same time, it's really tough to tease out, which one ways more than the other, but clearly the consumer and we can measure that, because our lower household income markets are not performing as well as our higher income house market. So that clearly those dollars have dried up from last year's stimulus, those customers have less discretionary income and therefore that's where we've seen a tightening in sales. But kind of separating those two out because they happened at the same time, it's hard to wait one over the other. But we are definitely seeing both.
Brian Nagel: Got it. Thank you.
Joel Anderson: Thanks, Brian. You bet.
Operator: The next question is from Karen Short with Barclays. Please go ahead.
Karen Short: Hi. Thanks very much. I just wanted to go back to guidance for the second half more specifically, I mean obviously, I appreciate that things are very volatile, right now, but when you look at your second half guidance with respect to and I'm looking at this on a three-year basis, but three-year sales growth, three-year comps, three-year EBIT growth and margin expansion implied. It just seems that there is a, you really need to see meaningful strength in the second half that doesn't necessarily seem realistic. And so I want to tie that into the fact that I know you feel good about your inventory, but obviously, inventories are up quite a bit year-over-year. And the question is like, what's the risk that you really have to have much greater markdowns in light of ongoing weakness in the consumer?
Kenneth Bull: Yeah. Thanks, Karen. There is obviously different ways to look at the numbers now given the challenge and comparing things year-over-year, right with the pandemic and other challenges there. So one way to look at it and I'll put out there is to go back again as we did for our Q1 results and go back and look at 2019. One way you could do it is to go back and look at the average sales per store in 2019, which again was a more normalized year pre-pandemic. And when you look at that, you'll notice that the increase on a quarterly basis is relatively consistent when you look at the first quarter and the third and fourth quarter. There is a little bit of a shortfall in the second quarter, again based on the current environment, what we're seeing. So it really kind of gets back to first quarter levels that we saw. So when you look at it that way and I think when you look at it from a geometric stack basis also, you see that same trend where the back half of the year is getting back in line with the first quarter. So you don't see it as much of the, I guess a hockey stick that you're, that you're mentioning there.
Joel Anderson: Yeah. In fact, all you have to do is believe we will perform at the exact same levels as Q1. So I'm not sure what numbers you are look at, but that's kind of how we thought about it in terms of the back half versus first quarter.
Karen Short: And just the inventory risks?
Joel Anderson: I mean maybe far bad we should probably talked about it at the Investor Day, but I mean it was part of our plan to be up significantly year-over-year. Some of it was about just pulling forward, I mean we did not have the inventory levels we wanted in Q4 last year and we wanted to ensure we were ready for summer here a piece of it is inflation costs. I mean our inventory levels, include all the added shipping costs, et cetera that's all in it that wasn't there a year ago. So, is it up a little bit more because of the sales miss, but sales miss is not much than that far materially off what we guided, so few percent, but overall, there's really no concern from our end. In fact, I'll tell you what, it’s the cleanest inventory we've had since I've been here, in terms of newness and that should really bode well for the customer.
Karen Short: Okay. Thank you.
Joel Anderson: All right. Thanks, Karen.
Kenneth Bull: Thanks, Karen.
Operator: The next question is from Edward Kelly with Wells Fargo. Please go ahead.
Edward Kelly: Yeah. Hi, guys. Good afternoon. So just additional sort of color on what you think driving the most recent slowdown and what I mean by that is, like, how have the trend right product Squishmallows like how has that been performing, has that slowed at all. I know you're taking some price I guess for the inflation has the elasticity on that pricing changed much. And then just one more on Q4, I know you've had trade down in the past, like ‘08 and ‘09, but that was also a big stimulus environment, which we probably won't see. Just curious, is there other things that have you optimistic about Q4 like product pipeline in the holiday, maybe you could speak to that. Thanks.
Joel Anderson: Yeah. I mean go back to my prepared remarks, I mean squish has continued to be very strong for us. We are up against poppers from last year, which is that trend is pretty much over PS anyone worried about markdowns were very, very clean on that but -- so I think squish is a great example of, as we find great trends, the customer is still buying those trends. Licenses has been a non-existent trend for a couple of years now. We see that as an area that could potentially start to emerge with finally having movies out there. Again, so we will chase trends as much as we’ll chase value. And then for Q4, there's just -- we have over 200 new stores in the prototype. We've got lessening of stimulus impact. We've got everything I talked about earlier, how we become a need store instead of a want store in Q4. So all of those add really lean towards a positive outlook on the back half of the year, as we kind of get through the worst of the headwinds from prior years. I don’t know, Ken, anything I didn’t...
Kenneth Bull: Yeah. I'd just add a little bit more on the Q4. I mean, we mentioned in the prepared remarks to the better inventory position than we were last year. I mean, we all know about the supply chain challenges last year and again the supply chain teams and the buying teams have just done a great job in terms of the right amount of inventory and what we need to have. And then also the marketing, right at this -- we're getting better at our marketing more effective that our marketing, especially on the, the increased digital. So you put those into the mix, that's why you're hearing those comments that we're making around the potential for Q4 and holiday.
Joel Anderson: All right. Hey, thanks much, Ed. Take care.
Kenneth Bull: Thanks, Ed. Yeah.
Operator: The next question is from Michael Lasser with UBS. Please go ahead.
Michael Lasser: Good evening. Thanks a lot for taking my question. If you do a minus 3 to minus 4 comp for the full year rather than the flat to 2 for the full year. Would you have more or less than $0.50 of EPS risk to your full-year guidance in light of the deleverage on negative comps you would experience in the back half? Thanks a lot.
Kenneth Bull: So, Michael. You're asking, okay. If we do a minus…
Joel Anderson: Minus 3 to minus 4, instead of flat 2.
Kenneth Bull: Yeah, I mean I don't have the exact figures here from an EPS impact, but it's not going to be, if you mentioned a $0.50 impact.
Joel Anderson: Is that, we saying would it be more or less than a $0.50 impact?
Michael Lasser: Yeah. The overall takeaway from the earnings release for folks is that the outlook for the back half of the year is optimistic. So if you could frame downside case scenario for earnings for the year in light of that viewpoint, it would be helpful.
Kenneth Bull: Yeah. I think, Michael, one of the ways to look at that as you listen to us today, I mean we're being impacted by things like fuel surcharges and increased fuel costs that other retailers are, but you didn't hear us really talk about that in terms of the total impact for the year. So what's going on embedded in our operations and results is cost mitigation strategies that we're working on it. So one of the things you've known us for a long time. This is where Joel has mentioned, we're nimble organization and we respond to these things. So if you look at the assumed reduction in sales from our prior guidance for the back half of the year, you're right, you would probably assume a larger negative flow through to earnings. But all that we're doing internally here, it's pretty significant in terms of cost mitigation strategies and other cost efficiencies that we're using to offset that, that probably helps frame up that back half that you're seeing that looks a little bit better when you're-- than what you would expect, given the sales change from the [Multiple Speakers]
Joel Anderson: Take the example of real-time first quarter.
Kenneth Bull: Yeah.
Joel Anderson: It's roughly 2 percentage points of comp below the guide and yet earnings came in right at the midpoint. So, I think we've got flexibility on our side to really manage the business and I certainly wouldn't forecast that big of a decline in earnings.
Kenneth Bull: Yeah.
Joel Anderson: But we're doing that without putting the math together, Michael, but hopefully that gives you some outlook on how we're thinking about.
Kenneth Bull: Yeah. Thanks, Michael.
Michael Lasser: Thanks.
Operator: The next question is from Chuck Grom with Gordon Haskett. Please go ahead.
Chuck Grom: Hey, I thought Joel let me unpack and evaluate the 1Q comp miss, I still understand was it frequency that changed, was it basket size, you talked about your basket being or ticket being 20% higher than 2019. So as a frequency, was it basket? And then it sounds like May and into June has been soft, which is frankly counter to a lot of retailers have said, so just I'm curious why you think that's the case for Five Below?
Joel Anderson: Yeah. On the first one, it's roughly 50-50 on that and as for May, honestly, we didn't give enough credit to lapping the popper trends peak from last year in May, that was our biggest -- much bigger than spinners were back in '17. And I think that combined with -- at the end of the stimulus and everything from formula shortage. So all the other things going on that we've been talking about we just -- didn't put enough into the forecasting May correctly there. And as you can tell by our conversation here, we see the back half of this quarter already starting to improve. But, it was mostly driven by really soft May relative to our initial forecast.
Chuck Grom: Okay. Thank you.
Joel Anderson: Thanks, Chuck.
Operator: The next question is from Joe Feldman with Telsey Advisory. Please go ahead.
Joe Feldman: Yeah. Hey. Thanks for taking the question guys. Wanted to ask you again, I may have missed this if you said it earlier, but like, did you start to see any trade down in the quarter. I know whether it's customers that you hadn't seen before coming in or maybe even kids starting to buy fewer items or I don't a lower priced items within the basket?
Joel Anderson: Yeah. No, look, we have yet to see a meaningful signal of the trade down happening that's not too unusual in the beginning of a tough period of time. So at this point in time, Joe, we haven't seen it. As far as you know, ticket goes a little softening in the number of units and that's more than offset by the AURs, as we have taken prices up. But the overall, no, we haven't seen any.
Joe Feldman: Got it. Thanks, guys. Appreciate it.
Joel Anderson: Thanks, Joe.
Operator: The next question is from Jason Haas with Bank of America. Please go ahead.
Jason Haas: Hey. Good afternoon. Thanks for taking my question. So you had mentioned that you saw storage and lower income markets underperforming. I'm curious what you've seen in regards to the reception to Five Beyond in those markets and just a broader question about how you feel about rolling out this higher price point items in an environment where the customer is going to be a little bit more cash constrained?
Joel Anderson: Yeah. We -- as far as Five Beyond goes, we haven't seen any differential there because it's all about value. I mean it's incredible value that that we deliver in Five Beyond so that my comments were largely about the overall economy and our negative comps are being driven more by our low household income stores versus our higher household income stores. But no concern and have not seen any on the Five Beyond. I know that might sound counter intuitive but what they appreciate the extreme value, our customer notices it.
Jason Haas: That's good to hear. Thank you.
Joel Anderson: You're welcome. Thanks.
Operator: The next question is from Jeremy Hamblin with Craig-Hallum Capital Group. Please go ahead.
Jeremy Hamblin: Thanks. And I wanted to see if I could ask maybe a totally different question. Ken, the tariffs that have existed on product inbound from China over the last few years had an impact. It hasn't been talked about a lot, but it's in the news, and the here and now given that it sounds like, we're moving in a direction where a bunch of tariffs are going to be removed. So I wanted to understand, one, what percentage of your inventory is subject to tariffs today? And two, if all tariffs were removed on the products that you're importing, what would the potential margin benefit be for the firm on a total basis?
Kenneth Bull: Hi, Jeremy. Thanks for that question. Yeah. I haven't talked about tariffs for a while. It feels like that's been years, but there is -- just to start off, there is nothing assumed in our guidance that for any reduction or change in tariffs. We’re assuming that they would be at the same level. I haven't heard or read of anything yet that of any definitive action is going to be taken. They were primarily on -- a lot of it was on kind of tech product for the most part. In terms of the percentage that were impacted, it was probably between about 20 and 25% of our imports that were impacted for the tariffs. So I apologize I haven't done any math on, if those were reversed whether in partially or in full what impact they would have on the business or operations overall.
Joel Anderson: Just keep in mind also Jeremy, if that does get reverse which we depreciate will take that. All our existing -- unless they do it retroactively, we still got to move through our, all our existing goods before we start to feel the positive impact of that, but it's roughly in that 25% range.
Kenneth Bull: Of import. Yes, a much, much smaller portion of total we get.
Jeremy Hamblin: Yeah. I think it's more financial 2023. Thanks.
Joel Anderson: Yeah, absolutely. That's where the focus would be on that, but we take it, be a nice tailwind. All right. Thanks.
Kenneth Bull: Thanks, Jeremy.
Operator: The next question is from Scot Ciccarelli with Truist. Please go ahead.
Unidentified Participant: Hey. This is Joe (ph) on for Scott. I just have two quick questions. First, just can you provide a breakdown on the lower income versus higher income consumer base that you have just because of the impact that had here? And secondly, just following up on the traffic issue that you guys saw. Would you say that maybe the lower income consumer is just cutting all discretionary spending in general or do you think there is something where they're driving less to shopping centers because of higher gas prices, or something like that.
Joel Anderson: It's hard to tease all that out at the same time, Joe, because, don't forget that same customer was up against stimulus from last year. So it was an inflated strength, but roughly a third of our fleet consists of stores where the household income is less than 50,000. So just give you some perspective on that. I certainly can't per se, say that they're not spending any money on discretionary income, but I think all the stuff you're talking about are certainly possible outcomes of consolidating gas trips and et cetera., et cetera. But, it roughly represents about a third, for us.
Unidentified Participant: Got you. Thanks.
Joel Anderson: All right. Thanks, Joe.
Operator: The next question is from Michael Montani with Evercore ISI. Please go ahead.
Michael Montani: Hey. Thanks for taking the question. I just wanted to ask if I could on three specific areas of the input costs, which was basically what you guys are seeing in terms of transport cost. If you're able to see any relief at spot rates were to come down on ocean freight in the back half or if you've kind of term that out so that you may not participate? Secondly was around diesel, if you've baked in any relief in the back half or if that assumes kind of record levels persist? And then lastly was it around wages, if there is any signs of peak there in terms of input cost inflation from wage rates?
Joel Anderson: Yeah. I mean, we largely do not participate in the spot rate. I don't know, Ken, you add.
Kenneth Bull: Yeah. I think just on those -- Michael on those three areas on kind of inbound freight, ocean freight and containers. If you recall, we lock up a significant -- almost all of our capacity and rates, and we did that at the end of last year, really for a multi-year period. So those are locked in. We've got real clear visibility to capacity and rates, which is good for us to have, so that's baked into our guidance. You mentioned diesel, of course, the fuel surcharges are at historic levels and increases from what we've seen over in the past. We've assumed those amounts current levels for the rest of the year. So we've not assumed an improvement in fuel surcharges. And then with regards to wage rates, we said this before, I mean, obviously, we're going to remain competitive out there with our crew and out in the field, and getting the best talent that we have, but any anticipated increases, whether it's based on mandated minimum wage increases by state or anything that we anticipate has been baked into our guidance.
Joel Anderson: Yeah. So unless the states change this year there is -- I think we've got everything baked in and I wouldn't expect any other surprise changes coming in this year. All right. Thanks, Michael.
Michael Montani: Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Joel Anderson for closing remarks.
Joel Anderson: Thank you, operator, and thanks everyone for joining us. While the first quarter as you can tell was certainly challenging, we are focused on being nimble as we navigate this dynamic operating environment. We continue to believe Five Below as an innovative and resilient retailer with a long runway for growth. We have an industry-leading new store payback model and a strong balance sheet, none of that changes. We remain focused on delivering incredible value and quality merchandise with a commitment to strong expense management and cost discipline. These attributes are distinguishing characteristics, which will serve us well as we continue to grow. In closing, wish you all a great summer and an end to the school year, our summer fun list is out there with amazing list of products. And as always, I encourage you to shop at Five Below for all your outdoor pool and beach needs. We look forward to speaking with you again at the end of the summer. Have a great evening. Thanks everybody.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.